Christoph Husmann: Good morning, ladies and gentlemen. A warm welcome to our this year's conference call on the H1 2024 figures. These figures are already published on July 30th via netTALK News and via press release because these previous, these figures are pretty much below previous year's figures but as expected. And the guidance for fiscal year 2024 is currently confirmed. Ladies and gentlemen as you are aware and I think I don't have to highlight that very long is that there is a transaction going on. Elbe BidCo, which is investment fund, which is managed and advised by KKR together with Viessmann and group of family Viessmann. And ABACON is having out takeover offer for Encavis cash consideration of EUR17.50 per share. And it is that the Management Board, Supervisory Board of Encavis AG recommended the acceptance on May the 2nd. And in the meantime until 18th of June 2024, 87.41% of all Encavis shareholders accepted that offer. The closing of the deal is expected for Q3 2024 or Q4 2024. Well the whole contemplated transaction will benefit Encavis and the energy transition. As a matter of fact, before that, contemplated transaction, we had a target of 5.8 gigawatt in 2027 and now we have a new ambition together with our partners to reach 7 gigawatt of capacity then. Here, you already see what that will mean the whole transaction will mean to Encavis. Although the whole company is working on the realization of this new partnership, we are working on our daily business as well. As we pointed out in Q1 already, we signed two nonrecourse project refinancing agreements in total amount of EUR203 million for our plants in Spain, Talayuela, and La Cabrera. And in the meantime now on 30th of April 2025, which was not already announced in the Q1 figures is that we signed a syndicated revolving credit facility in the amount of EUR300 million. Both will help us to foster our further growth of our accelerated growth strategy 2027. The syndicated revolving credit facility will hold until 30th of April 2025. Until then, at latest, the total takeover will be done. And this interim financing was necessary because we received a rejection vote of our annual shareholders meeting for our capitalization measures. And recently, most recently, in July 2024, we got from SCOPE Ratings a confirmation of our investment grade issuer rating of BBB-. But not only on the financing side, we are busy, but we are working on further investments, construction and connection to the grids of some parks. So in Q1, we always stated that we are under constructing in the Borrentin park with 114 megawatt, the largest park of our own portfolio. In addition to that, we could acquire another park in Spain of 95 megawatt, which brings our total capacity in Spain alone at the end of year 2025 to 800 megawatt. This park was acquired from BayWa r.e. The park is under construction and will be connected to the grid in Q4 2025. In addition to that, we closed the contract of the already grid-connected 11 megawatt wind farm Schieder-Schwalenberg. That park was already acquired in December 2023. Sometimes closing of such parks needs sometime and we got a 14 megawatt solar park Morghult in Smaland in Denmark connected to the grid. Encavis Asset Management is working on the projects as well. As you might know, the largest German solar farm in the group managed is with asset management. It is the park Bartow with 260 megawatt. Here we could sign at the beginning of April. PPA contract with LyondellBasell. And now we got financing done with Commerzbank on the 31st of July in the amount of EUR145 million. Before I go now into the details of our half year figures, I would like to highlight that these figures we will present it in this presentation are without the cost of the partnership with Elbe, with KKR and Viessmann. And the reason for that is that we want to keep the half year figures here comparable to the guidance, which did not incorporate these costs as well. So the total cost so far of that project are EUR5.4 million which were accounted for in the half year for 2024. So if you compare our half year report with the figures here, please have in mind that all figures despite cash flow and revenues have to be reduced by EUR5.4 million. Well, if we go then into the details of our figures, we usually start with the energy production of our existing portfolio. And for the first time, we have here a severe drop of 7% or a 130 gigawatt hours. As a matter of fact, there are numerous issues which we are confronted with and this is a very unusual combination. Firstly, it is that we sold at the end of last year, two wind farms, which were at the end of the feed-in tariff Greußen and Sohland and they produced in the first half of last year 20 gigawatt hours so that is obviously lacking now and that was planned for. And we have much less favorable weather conditions in the first half of this year than we had in the first half of 2023. It is not that 2024 is extremely bad. Yes, it is below standard weather, but the first half of 2023 was very much better than standard weather and therefore there is a big deviation here. And we were in some areas of Europe confronted for the first time with negative prices. Now you might ask why do negative prices influence the gigawatt hour production? In 50 minutes periods where we see negative prices, we stop the power production because we do not want to pay money for producing electricity. And then we do not produce the electricity and that costs us an huge part of this 130 gigawatt hours power production. And then we had some areas as usual, but fully compensated grid curtailments. That all means that we have a reduction of our gigawatt hour production of the existing portfolio of 7% or 130 gigawatt hour. That is by two-third compensated by new parks connected to the grid. So, in total, the energy production in this growing portfolio is only 3% or 46 gigawatt hours below previous year's figure. But that leads to 9% reduced revenues. Well if there is a big lack of power production in the existing portfolio, which in average has a much higher remuneration per kilowatt hour than the new parks then this means that there is a higher negative deviation in the revenues. In fact, it is that the EUR21.3 million negative deviation in that operating profit is by half has its reason in the reduced volumes, which I pointed out in the existing portfolio and the other half by lower prices. These lower prices were expected or were planned for in our, planned for 2024, and so therefore reflected in our guidance, but it is a deviation to the first half of 2023. You see that EUR21 million different deviation in the revenues in the EBITDA as well. But in addition to that, some compensational effect in the revenues, which is provided by Stern or by huge newly to the grid-connected parks they come along with cost. And so that means that the EBITDA has a slightly higher deviation compared to previous year and they've come along with depreciation. So the same applies to EBIT. If we have a look into the segmentation report, then we see that although we have a severe drop in power prices and reduced volumes due to metrological reasons, grid curtailments, and some negative price related shutdowns that still the operating revenues of the solar parks contribute approximately two-thirds to the top line of the whole group. While wind farms are stable with 22% providing to the topline PV Service is increasing its importance to the top line. If we go now into the details of the solar farms, we have a drop in revenues of the solar parks by 14%. This is due to the expected lower power prices in combination with less sunshine in many European states and first in the lifetime negative price related uncompensated shutdowns. Let's have a look on the meteorological effect. As a matter of fact, we always plan standard weather for solar and for wind. While we have seen in all European countries in the first half of 2023 very positive deviations in the radiation compared to standard weather. We see in all but one surprising country negative deviations to that standard weather. Why a surprising country? Well most Germans would consider this summer not to be the most sunny one, but in fact we still are above standard weather in the radiation. But, in fact, the highest deviation we see in the Netherlands we had last year in the first half 9.2% more radiation than usually expected and this year 6% less than usually expected. So compared with the usual expectation, it is a negative deviation of 15%. And that certainly means that there is less power produced. But the likelihood of high or low radiation in the future does not change with that experience. So this is something which we cannot forecast and something where we always assume standard forever. If we then have a look into the wind farms. Here we have a deviation of minus 7% in the revenues and this is mainly due to the deviation of EUR3.2 million to the sale of the Greußen and Sohland, which produced in the first half of 2023 EUR2.2 million of revenues, which are obviously missing now and EUR1 million is due to prices. Our Stern parks developed very well as well as our other projects so not to take it too negatively. So the solar farms and wind farms are working properly. They're in a good shape and they have and they're with the capacities which we have are growing and we are further investing successfully. But there is by accident the combination of some negative influences which currently overcompensate that effect. Stern is developing very well as well. We have growth of 30% in our revenues mainly driven by internal revenues with our own parks. As a matter of fact, this is exactly what we had in mind strategically when we decided to acquire Stern. The EBITDA margin looks to be under pressure, but in fact the first half of 2023 was fairly impressed by one-off effects of winding down the formerly developed small development business of Stern. Here, we had realized some profits in winding that business down. So the 11% of EBITDA margin is in line with our expectation. In our Asset Management business, we still have due to the interest rate environment and to the reluctance in the past of some investors to provide us with sufficient committed equity, some delays in further project investments, which are expected now for the second half of this year. And so we have some shifts in projects, so therefore the revenues are somewhat reduced. But since the costs are fixed, we are currently in the negatives, but we are confident that this will turn around in the second half. In the headquarters, we see in the revenues only the consolidation of the internal revenues with Stern. Here, you see the magnitude of the growth of the revenues from EUR8.7 million to EUR12.7 million, so almost plus 50% of internal revenues with our new subsidiary. So that is very positive. The EBITDA is purely the cost of the holdings. Here, you see a reduction from minus 6.3% to minus 5%. Although the company is growing as well as the workforce. So that is not the reason, but the reason is that in first half of 2023, we had several one-off effects, which were cost burden, and this means that we have a reduction of our cost in total. Ladies and gentlemen, now we had a turbulent first half year due to bad weather, shutdowns due to negative prices as well as weather and negative prices and the low price volume. As a matter of fact, our guidance 2024, which we announced in March was based on like every year's standard weather. This is something which I already pointed out. Only the fact that we had negative or bad weather conditions in the first half does not mean that we have any reason to assume that we do not have standard weather in the second half. So the weather is an open issue and there's no relationship between the first half weather condition, the second half, so therefore we stick to our assumption of standard weather. And we had the power price curve of 10th of March, 2024. The power price curve is the assumption and regarding the power prices, the overall power price environment. It is not a forecast of every 50 minutes corridor. So what we cannot say today, how many negative price 50 minutes corridors there will be and so how many shutdowns will be done. And so therefore we cannot forecast anything like that for the second half. But having a look on the pricing level and if you compare this chart with the Q1 figure it is that there is some relief in the power prices. In most of the countries and technologies, the reduction in power prices is somewhat slightly lower than we assumed in the Q1 figures. This is not material, so therefore there's no reason to change the guidance out of that reason and it is a snapshot and the prices are extremely volatile in the current environment. But there is some relief. Overall, we currently stick to our guidance. Honestly said, it depends very much on the weather conditions and very much on the volatility of daily power prices and whether there are negative prices in 50 minutes corridors, which could enforce us to shut down one or the other park. Not all of them. It is only selectively. So, therefore, we confirm our guidance. Ladies and gentlemen, that's it, what I wanted to present to you. The further charts in the presentation are standard charts which you have seen already in the last quarters. And now I'm available for your questions. Thank you very much for your attention.
Operator: Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] One moment for the first question, please. It seems there are no questions at this time.
Christoph Husmann: Okay.
Operator: So I would hand back to Dr. Christoph Husmann for any closing remarks.
Christoph Husmann: Yeah, thank you very much for attending our presentation of the Q2 figures. And if you have any further questions in the aftermath, please do not hesitate to contact the investor relations department. And so thank you very much for dialing in and I hope that you sit in an air conditioned and nice room so that the day is not as warm as it started this morning. Thank you very much and have a good day. Bye.
End of Q&A: